Operator: Good morning, ladies and gentlemen, thank you for standing by. Welcome to TFI International Fourth Quarter 2018 Results Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. [Operator Instructions]. Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded on Thursday, February 28, 2019. I will now turn the conference over to Alain Bedard, Chairman, President and CEO. Please go ahead.
Alain Bédard: Well, thank you, operator, and thank you everyone for joining us this morning. Well, yesterday evening, we announced our 4th quarter results. If you need a copy of the release, please visit the Investor Relations section of our website. We generated solid operating results in the 4th quarter, completing a strong year for TFI. As we always have, we remain focused on the execution of the fundamentals in our business and the result is strong, consistent and growing free cash flow cycle-in and cycle-out. We believe that investors appreciate tangible free cash flow and earnings per share more than promises and displays to our strength at TFI International. Throughout the year, we stuck to our goals of creating and unlocking shareholder value, and whenever possible, returning excess capital to shareholders. This remain our objectives for 2018, which we plan to accomplish by continually striving for operating efficiencies. This involves innovating to find value-add solutions for our customers, pursuing an asset-light business model, maintaining a strong balance sheet, and seeking accretive acquisition in a highly disciplined manner when the opportunities arise. By utilizing this approach, our aim is to produce not just growth, but profitable growth, which we know is the best way to create value for our shareholders. Now let's have a look at 4th quarter results. Our total revenue grew double-digit 11% year-over-year to $1.3 billion. This compares favorably to our growth rates start of 2018, which was actually 1% decline back in the first quarter. More importantly, our operating income was up a very robust 56% or $103 million, and our adjusted EPS on a diluted basis was up 63% to $0.96. As I've mentioned in the past, one of our key focal points is net cash from operating activities because of the flexibility it provides us and a slow start to creating shareholder value. Our net cash from operating activities was $174 million, up 50% over a year-ago period. I should also mention that the full year 2018, we had a record net cash from operating activities, we exceeded $0.5 billion for the first time. These overall consolidated results reflect our commitment to driving profitable growth and I'm pleased with the improvement in our performance throughout 2018. Turning to our results by segment. You'll recall that we have 4 reportable segments and once again this quarter, all 4 generated top-line growth before fuel surcharge, including double-digit growth for LTL. We also saw high operating income for all segments except Logistics and Last Mile. We're excluding an impairment to intangible asset operating income, also increased 9%. So starting with the Package and Courier, which represents 50% of total revenue. Our revenue before fuel surcharge grew 9% or $177 million and this growth was entirely organic. Operating income expanded a solid 22% to $34 million and the operating margin was up a very strong 200 basis points to 19.4%. Both volumes and rate continued to improve and we're committed to optimizing business mix and driving efficiencies such as the consolidation of routes and terminals. Next is our LTL segment, which represent 20% of total revenue. Our revenue before fuel surcharge was up 14% to $232 million. Our operating income climbed 77% to $23 million and our operating margin jumped from 6.5 to 10.1 over the past year. We also saw a 21% increase in our revenue per 100 weight excluding fuel surcharge which was $13.79 during the quarter, as we continue to focus on the quality of our freight. Our adjusted operating ratio for LTL was 90 points, an improvement compared to the 92.9 a year earlier. Turning to our Truckload segment, which represents 46% of our total revenue. Our revenue before fuel surcharge was up 10% to $528 million. Operating income of $52 million, more than doubled compared to the $23 million in the corresponding period -- prior-year period, as did the -- our operating margin was jumped to 9.9 relative to a 4.7 a year earlier. Looking at our adjusted operating ratio, we achieved 85.9 for our Canadian Truckload, 89.2 for our Specialty TL and 93.3 for our US TL. Compared to a year-ago performance, these adjusted operating ratio reflects an improvement of 610, 230 -- 230 basis points and 670 basis points respectively. Next, let's discuss Logistics and Last Mile, which represent 90% of total revenue. Our revenue before fuel surcharge was $236 million, up slightly over past year. Our operating income was $3 billion, was impacted by $12.6 million impairment to intangible assets related to a prior year business acquisition, which was upset by $13 million reduction in contingent consideration reported in finance costs. Excluding this impairment, operating income grew 9% to $15 million, where our extensive Logistics and Last Mile operations were increasingly able to capitalize on the growing importance of e-commerce, and in fact saw a 25% year-over-year increase in our e-commerce revenue during the quarter. Looking at all the segment performance and the across-the-board strength we demonstrated this quarter, it should be clear that the diverse business we've assembled over the years position us well to prosper in the evolving transportation and logistics industry. I'll repeat our back to basic approach during times, when the market is nervous, is closely connected to our track record of consistently generating strong free cash flow regardless of where we are in the circle -- at the cycle. Turning to our balance sheet, which remain a source of strength of TFI International. We ended the year with a debt to adjusted EBITDA ratio of 2.3x, down from 2.9x at the start of 2018, and well within our 2x to 2.5x target range. It's our strong balance sheet that permits efficient capital allocation and allows us to return excess capital to our shareholder, which is one of our guiding principles. During the quarter, we returned another $80 million to shareholders by way of $18 million of dividends and $62 million of share buybacks. For the full year 2018, we returned $214 million to our shareholders, consistent with our plan to be active and opportunistic buyers of our stock, as an element -- as an important element of how we create shareholder value. In fact, so far in the first quarter of 2019, we bought back an additional $56.7 million worth of shares. Let's discuss our guidance for 2019. The general freight environment remains solid throughout North America, and pricing has held up; however, we're closely monitoring fluctuation and demand. We are cautiously optimistic on 2019, but regardless of market conditions, we're highly confident in our ability to continue generating strong free cash flow and earnings. As such, our adjusted EPS earnings per share guidance is $3.80 to $3.90. I'll point out that for comparability purposes, this guidance is based on 2018 IFRS accounting principle. In other words, we're not yet taking into account IFRS 16. In terms of capital allocation, we have existing authorization to repurchase approximately another 2.9 million shares under our existing 6 million shares authorization. This current repurchase authorization runs until this coming October 1, and we intend to opportunistically buy back shares during 2019. You can also assume that we'll remain active in the M&A, given our long track record of consolidating what remains a fragmented industry. But of course, we will remain highly disciplined as always. I want to take -- thank everyone for taking us this -- joining us this morning, and we appreciate your continued interest in TFI. So operator, you may now open the call for questions.
Operator: [Operator Instructions]. Your first question is from Jason Seidl with Cowen & Company.
Unidentified Analyst: This is Adam on for Jason. I guess my first question is just kind of your expectations expectations for TL pricing in 2019, specifically for renewals? What are you guys seeing so far in bid season and what are your expectations for 2019?
Alain Bédard: Well, what we see so far is really solid. I mean you know when we talk to our guys discussing with our customer, the range that we're talking about for 2019 so far is, we are talking between 2% and 6% -- 5%, 6%, 7%, 8%. So, it's still a very solid year for us in terms of being able to adjust to a more fair pricing environment for the TFI US TL operation.
Unidentified Analyst: And then just maybe a quick follow-up on your M&A pipeline now. So obviously you did these two deals recently. What is your M&A pipeline looking like now? And I guess specifically, what are your priorities? Is it geography expanding more into the US or is it more by carrier type, trying to do more specialized deals? Thank you so much.
Alain Bédard: Yes. That's a very good question. So I mean I don't think there is not going to be any big way of TFI in 2019. No big deal. But the area that we're really focusing is both Canada and the U.S. So you saw us trying to do a deal, buying the assets of BeavEx in the U.S. to add on to our Last Mile operation. But also you saw us buying Chile in U.S., which is a nice family-run specialized truckload operation. That fits very well with our Canadian operation of specialty. You know late in 2018, we bought a lot of small guys in Ontario on the flatbed side and on the tank side. You know just lately, we bought another very, very good company in Hamilton, which is TTL Toronto Tank Line. This is a strategic acquisition for us, because it gives us the opportunity to have. First of all, we are on the premises of the port of Hamilton. So we have the ship that can unload, we have the silos that can store, we have the 2 rail CNCP that can service our operation. And then last but not least, also we have a wash bay. We've also added [indiscernible] in Quebec, and Broussard in La Prairie close to Montreal. So our connection to let's say from Quebec City all the way to Windsor in the Specialty TL is second to none now. Gorski was also another of our acquisition in Windsor with a wash bay. So, the direction we're going is very simple. We said that we are 50/50 in Canada, between Specialty TL and TL. Right now in the U.S., we are mostly a van carrier. And now with this Schilli acquisition, this is really our first step in trying to grow the Specialty, because we like this business very much, and then we have a good team. Now in terms of LTL, if we could do a deal in Canada and beef up again our density, no question about it, we'll look at it. So the geography, to answer your question, we're looking both in U.S. and Canada. Last Mile, whatever we can do for sure. So this is why we are there in with BeavEx, there may be something else that we're looking at also in the U.S., we'll see. On the Canadian side Truckload and LTL, that's our focus as well. Now, how much are we going to spend again this year? Probably the same kind of neighborhood as we did last year. Last year, we spent $150 billion in M&A. This year maybe a little bit more, maybe like closer to $200. And like I said on the script, our focus is always, if the place is acceptable for us to buy back our stock, this is the best thing that we could do is buying our own, because we know 100% of what TFI is all about, whereas when you do M&A, you know you could do your do deal, you could whatever you want, but there's always a risk, because it's the unknown. So buying your own, I know the company inside out.
Operator: Your next question is from Mona Nazir with Laurentian Bank.
Mona Nazir: Congrats on the quarter.
Alain Bédard: Thank you, Mona.
Mona Nazir: My first question just has to do with operating ratios. And you've spoken about your kind of target as a 90% range overall. And specifically in the U.S. alone 90% kind of threshold and now we're at that 93% for the quarter. I understand that target range is new when given your success in reducing such, I would say, potentially faster than anticipated. I was wondering your thoughts on where we could see our exiting in 2019, specifically in the U.S. and then for the overall business?
Alain Bédard: Good question, Mona. So, you know, our U.S. TL operation, we are very happy with what our plan in 2019 with the CFI folks. I mean those guys have done a fantastic job. So for us, the U.S. is a little bit like a suite and sour thing now. Our CFI, those guys are performing really, really well. And TCA is lacking a little bit behind. But I am confident that this year, I mean we'll bring more TCAs result closer to the CFI. So what I say to our guys all the time is the OR of a Truckload operation has got to be on an average of 10-year, it's got to be at least no more than 9 years. So you could have bad years at 92, 94, but if you think that 92, 94 in a good year, is good. No, if you look at our Canadian operation, our van operation, we're running an 83, 84, 85. So for sure, the objectives slowly is to 10 versus what our Canadian guys are doing. So under [indiscernible] that now overseas TCA and CFI, now we are building a team that will be able to reach those kind of objectives. Now in terms of the overall company, our P&C is second to none. I mean there's nobody that can run an EBIT of 15 points and more, our Q4 was about 19. Now this is fantastic. Now, can we do better than that? While we have some projects that will come to fruition in 2019 like new hub in Calgary, that's going to help us on the cars. On the LTL side, we're still doing a lot of cost reduction there, mostly the real estate, the density of the routes. So LTL for sure will improve in '19. P&C, yes, we'll get maybe a point, 100 basis point more, but what you get closer to '20, it becomes very difficult. Now in terms of our specialty truckload, our Q4 was -- could have been better. But don't forget Q4 for Specialty TL is never as good as Q2 and Q3, because you got some equipment that's been parked, because you can't use it like the cement. Operation in Q4 is basically to a stop from November 15. So we are always affected in Q4. Also the fact that we've acquired a lot of small companies that deludes our bottom line as a percentage, because the ones that we're buying are not as efficient as the one that we own before the purchase. And that's why it's so interesting for us to buy this company. Because we buy good companies and really the job of Steve Brookshaw and his team there is to make these guys better. right, but that takes time. You got to go one step at a time. So to answer your question, In general terms for 2019, if you look at our guidance on EPS that tells you that we're still seeing improvements on what we are doing. And that guidance does not include any M&A that we're doing in '19, except the one that we did late in 2018.
Mona Nazir: And then so just going on the guidance, I appreciate the new 2019 EPS. But if we turn to EBITDA, you had increased your 2018 EBITDA guidance by 12.5% throughout the year and you still beat. I'm just wondering if we're adding up all of these prior remarks, is there a target that you're looking for 2019, and included in that would be gains from asset sales of how much?
Alain Bédard: Well, the reason we don't want to really talk about guidance in EBITDA in 2019 is, because this IFRS 16, you see so many changes. Okay, that we said, listen, I mean EPS, it's easy, let's give a guidance on EPS. Now in terms of selling real estate if I got your question correctly, we did about $25 million in 2018 and this EPS does not include anything in 2019. We will probably do like the same that we did in '18 and '19. So probably we'll be selling between $20 million and $30 million of our assets -- real estate assets. As always, those real estate deal are always very profitable for the company. But it's not included in that guidance on EPS.
Operator: Your next question is from Scott Schoenhaus with Stephens.
Scott Schoenhaus: Can you talk about the freight environment in both the U.S. and Canada, so far this year. All of the U.S. TL carriers reported several weeks ago. So just wanted to get a sense on January and more importantly February trends, have things changed from the start of the year and to now that we're at the end of February?
Alain Bédard: That's a very good question. What I can tell you is that, when I looked at our January in our U.S. TL operation, I just fell off my chair. It was a really, really good. Now February is a little bit of a different story because of the weather issues that we had in the U.S. and in Canada as well. So I think February is not going to be as good as what we saw in January. We really did perform well in January in our U.S. TL. Now in the general TFI Canadian operation, what we saw in the first 2 months of 2019, when I look at our P&C, a little bit behind on the volume, a little bit slower. I talk to my guys, so it's not about customer that we're losing is more customer have been slowed so far. If you look at our LTL, there, I mean, we're still -- revenue is down a bit versus last year in our LTL in Canada. But bottom line is up, really nice. Canadian Truckload is doing very well. Our Specialty truckload, a little bit slow there as well. So it's a little bit of a mix. But when I talk to our guys, when I talk to my guys, they say, Alain, I mean, we don't know what has been the effect of the weather, okay. But one thing we know is that '19 winter so far has been way worse than '18. We believe that, the bell weather is going to be March. If the weather has got -- we have more stability in the weather in March, it goes back to more normal. When we talk to our customers, they anticipate that they'll be busy, so we'll be busy as well.
Scott Schoenhaus: That's very, very helpful, for all the color. I guess on the follow-up on the LTL side, there was a large Northeastern US LTL carrier that declared bankruptcy recently.
Alain Bédard: Yes.
Scott Schoenhaus: Have you seen any of their customers come over to you, has there been a shift in that market, and can you provide some color there?
Alain Bédard: Yes. We cover New England to our partner, which is Saia. So I know that the guys over there at Saia, they have been really busy. First of all, because until maybe a year and a half ago, they were not really present over there themselves. That was part of our other expansion program to really open up in New England. So when I talk to my guys, what they're telling me is that, they're working on it. I mean there was about 9,000 bills a day that this group was doing, so a lot of customers worry about what's going to happen in the future. So our partners, Saia, it's a really, really good company, service is impeccable; so they are in discussion with customer for the LTL that comes from the U.S. and into Canada. On the other side, talking to our Canadian guys, the guys are working. If you talk to our guys at Cavalier, our guys are TSC overland. They've got lease and they're working on it. So far, you know it takes a little bit of time, because the reason this group went belly up, it's not because they had rates coverage of gold. You know what I mean?
Scott Schoenhaus: Yes.
Alain Bédard: They had probably like terrible rates. So now you are in discussion with our customers, that says, while I was paying $100 with this group and now you want to charge me $160, well, it's just normal, a guy that was starting $100 is bankrupt, so there is a reason for that. So -- but it's always difficult for customer to swallow those kinds of adjustment in price, so it takes a little bit of time, right. So that's where we stand on that.
Operator: Your next question is from Navdeep Malik with Industrial Alliance.
Navdeep Malik: Thank you, good morning. I just wanted to first touch on the impairment charge in the quarter. Maybe you could just give us some more color on that and maybe if there are any or are there any implications for any of your other acquisitions in terms of assessing the impairment in any of the other acquisitions that you've done?
Alain Bédard: Yes. Well, this is very unusual, this never happens at TFI. We did the CFI impairment last year, and we have some good reason, because we were loaded with this kind of shift [indiscernible] to go with that. PPM was a different story. I mean we bought PPM, it's a great company with great potential, but we -- our guys dropped the ball. So you know a lot of times, a company that was built by entrepreneur, because it's a one-man show, because the guy is there 28 hours a day, he controls everything. And also at the same time that we're buying the guy, the customer is asking, could you open up here, here, here and there. So there is a change also in the network, so there's new managers. So if you sum up all of that, our guys in the U.S. dropped the ball. But now we were back on track there. Our guys are really serious about it. And instead of just trying to explain, said, "hey, guys. I mean, don't forget. This will affect the seller. Because the earn-out, some of that has been in the scrap, because we think that until -- if the things don't change, we're not going to be able to pay them, so that's why we adjusted that. But our goal is to pay the guy. So it's not to just sit on our ash and do nothing, sit on our hands and say, oh, oh, yeah, well, we saved $13 million. No, no, no. Our real intention is, what can we do with the team there to make sure that we turn that ship around and be more like sailing in the right direction. So Scott leveraged that adds our logistics -- Last Mile Logistics division in the U.S. The guy is really focused with his finance team, with his ops team. And we have one of our EVP Board that oversees that operation. So I'm confident that this thing will turn around. But in the meantime, we said, "hey, listen, let's take an impairment of $13 million and write-offs at the same time, the $13 million that we have to pay as an earn-out to the owner -- for the previous owner." No big deal.
Navdeep Malik: So there's still some potential in your view that you can turn things around and re-capitalize some of that--?
Alain Bédard: For sure. Yes. That's the goal now. That's the goal. I mean, our guys they know that, hey, when a guy sells us a company, first we want to pay the earnout, 100%, it's our track record, we always do that. Now, because of all kinds of circumstances that -- we have all kinds of excuse in life. So, ours, we say, forget about the excuse, roll up your sleeve guys and the focus is, we want to pay the earnout, so we have to do our job.
Navdeep Malik: And then just on your guidance. I know IFRS 16 is going to -- they result in some variability. But I'm just wondering in terms of, say, magnitude of -- like your EPS, looks like it's about 7% to 10% growth in '19 over 2018. Is that kind of the same magnitude of growth that we should expect in EBITDA and operating income or maybe you just give us some color on that?
Alain Bédard: Well, the problem with that now and this is why we went with EPS. The EPS, we're sure about what we're talking about. You know this IFRS 16 thing there, I really don't like this thing, but we got to live with it. So we're in the midst of converting -- we used to rent trucks in Canada, because we have some favorable deals. So we're going through all of this change now since the summer of '18 in Canada. We're not leasing trucks any more. So, we're buying trucks. And this is because of that, no, I don't want to say stupid IFRS 16, I don't really like it. But you know it's a change. So as an example, [indiscernible] in Quebec, I used to lease 360 trucks. This year we are replacing 25% of them, they will be -- we start buying trucks for those guys. So there is an increase in EBITDA, because instead of leasing, we're buying. And also at the same time, if you look at the number of terminals that we shed, every quarter we are shedding terminals. You know our Head Office in Montreal, as an example, I mean, we had an option to renew. I said to our VP of real estate, forget about it, we're not going to renew. This is stupid, this IFRS 16, forget about it, we're just going to do something else. So this is why, to me, it was easier to just give a guidance on the EPS $3.80 to $3.90, we did $3.54 this year, diluted 3.54. So if you add $0.10 -- $0.30, I mean it's 8%, 9% like you said and we feel very good. And this excludes M&A, if we -- and you know that we've done some so far.
Navdeep Malik: Yes, absolutely.
Alain Bédard: We could be a $4 guy. Enough, we could be a $4 guy next year. You know the guys are, I mean this year 90. So the guys are really working hard, I mean our VPs are really working very hard at that.
Operator: Your next question is from Gianluca Tucci with Echelon Wealth Partners.
Gianluca Tucci: I think I missed your comment in your preamble about e-commerce. Can you just -- how much of your business today touches e-commerce across your divisions and what's your growth strategy here on the e-commerce side for 2019?
Alain Bédard: So our growth year-over-year in Q4 was 25% on e-commerce.
Gianluca Tucci: Wow.
Alain Bédard: So today, e-commerce within TFI is about very close, 10% of our revenue. So if you take $5 billion, 10% is $500. I don't have the right figure for December of 2018. But we will probably be -- we used to be at $400 million. So probably now we're between $400 million and $500 million. Now, our goal has been very simple. We walked away from the largest e-commerce provider in the U.S. in 2017. Well, they kick us out. So we don't really like those guys, and we barely do any business with them in the U.S. So I mean, everything that we do in e-commerce in the U.S. is everything except this guy. And we work on all kinds of retailers, and we've been very successful with the largest retailer that published their numbers last week, very good numbers. We're very close to those guys, we've built the e-commerce business with those guys in Canada. We still service the largest e-tailer in Canada, while we've also reduced our exposure to that guy. Because we just read about what's going on with those guys. We read about the ex-fuel, maybe the story there, I don't know. So our goal is really to grow with everybody except that group of companies.
Gianluca Tucci: And then just changing gears on the driver shortage concerns in industry. Can you talk a bit about your overall retention in terms of truck drivers across Canada and the States? And then, like where are you in terms of the business, are you seeing the most constraints operationally on the driver perspective?
Alain Bédard: Yes, a very good question. I mean the turnover that we have in Canada, I mean it's unbelievable, it's so low. I mean P&C, LTL, it's single digit. Our Canadian truckload folks, they're running about 10% on average. So Specialty and regular van about 10%. The U.S., well, that's where you know like it's everybody has got the same problem, is we run about 90% today, which is probably a little bit better than the average, but still a huge cost for us. I mean this is really sickening to see the turnover. And I understand those drivers. You have to pay them better rate per mile, which happened over the last 2 years. But also you have to give those guys miles, they can sit in traffic, they can sit at the customer yard and waiting for hours and hours. So this is where our ops guys now are working more and more with customers, to say that this is no more with ELBs. I mean the guy cannot cheat, and if he sits 5 hours in the yard, you can tell the guy, well I will give you $15 an hour, but this is not just about money. Those guys like to drive trucks and when they're sitting in the yard for 4 hours, even if you give them $50 to $20 an hour, they don't like that, they don't like to sit and wait, I guess nobody likes that. So this is an industry-wide issue in the U.S. And hopefully good trucking company like Night and Warner and Snyder and all these guys are working with customers to say, guys, we have to change the way we deal with our drivers. So, the guy cannot run in circles in the yard for about 2 hours trying to find his trailer, no. So it compounds the problem that we have with drivers, we don't have those issues in Canada.
Gianluca Tucci: So it's, I think, fair to assume then that your OpEx on a driver perspective in the U.S. won't -- like it is an expanding at a 10% clip or is that--?
Alain Bédard: Yeah, well, when I talked to our guys, I mean for us, drivers is very important, but also safety is very important. So what our experience tells us is that, new driver without experience, first of all, the turnover is huge with those guys. So our focus is really to hire guys with experience. And also, experience and safe, because the insurance world in the U.S. and even in Canada is tightening real time. There's too many claims, there's too many judgment just going through the roof with the claimants lawyers asking for all kinds of numbers. So safety, safety, safety and drivers with experience, that is really our goal. And you know, we're taking huge risks. Well driving a truck on the roads today in North America is huge risk. So there must be a reward, so you must have -- you can run the 96 OR and say, "Hey, we are doing well." No, you're not, too many risk. Because at 4% bottom line, I'm going to invest in buying banks stock or buying our own stock, and get a 4% dividend.
Gianluca Tucci: Right.
Alain Bédard: So the guy, I think at 96, he is doing well, he is doing very poorly.
Gianluca Tucci: And just changing gears down to Mexico. I mean 7% growth in all of 2018. I presume that was all organic? Is there any intent to expedite your Mexican strategy on an M&A perspective?
Alain Bédard: Yes. No, not on the M&A. But what we have in Mexico is that we have a good logistics operation that's called CFI Logistica. And there we're investing in people. So we're adding people, we're educating people over there, we run a very good show, but still too small. But until about a year ago, there was no investment made there. So under the leadership of Greg Orr, we've decided that we have to invest more in our CFI Logistics operation in the U.S. and our CFI Logistica in Mexico. That is -- this is what we're doing. Now buying a trucking company in Mexico, not really.
Gianluca Tucci: Okay, awesome. And just finally here on the CapEx perspective. Can you give some color as to other split between growth CapEx and maintenance CapEx for 2019? That's it from me. Thanks, Alain. Keep up the good work.
Alain Bédard: Thank you. Well, there is about $50 million of CapEx this year that are exceptional. When I say exceptional is that, all of these trucks that we used to lease that we're buying. Now 90 is about 35% of all these trucks that we used to lease for 4 to 5 years, that becomes, which is exceptional. Our base CapEx if you exclude that, normally it should be equivalent to what we've done in 2018. Although in the 2018 CapEx for the last 6 months, we've already started doing that. So I don't know how much in the 2018 CapEx, I don't remember. So there's probably like another $20 million that we did in terms of converting lease into buying of the truck. So all I know, CapEx for 2019 will be including the $50 million that I just talked about. It's going to be between 225 and 250 total, net of disposal.
Operator: Your next question is from David Ross with Stifel.
David Ross: So, Alain, we could move to LTL pricing from truckload pricing, you talked about kind of the mid-single digits. There is a lot of cleanup in 2018 in your book of business in LTL--
Alain Bédard: Yes.
David Ross: How do you see that settling out here in 2019?
Alain Bédard: In terms of the truckload U.S. TL?
David Ross: I mean, on the LTL side? You know--
Alain Bédard: On the LTL side?
David Ross: Yes.
Alain Bédard: The LTL side, a little bit of cleanup still remains on the LTL side. Not much, but still a little bit. But that's how, David, we get to the ORs. Our goal is we have to run our LTL operation. In an OR, that's going to be closer to 85 and 90. So we still have another 2, 3, 4 or 5 points that needs to be adjusted there. So what we did last year is, you know, LTL sometimes get confused with small shipments, minimums and all that, so we clean all of that. So this is why, if you look at our revenue per hundred weight, it's up 20 some percent, while this is very easy. It's not because in Canada, Canada is very different than the U.S. If you look at though [indiscernible], they can say, well, our revenue per hundred weight is up 10% year-over-year. But ours were up 20%. Well, the reason is, because we got rid of the terrible freight that we have, which is mostly the small shipments. So this year into '19, you're not going to see a 20%, because the pricing of that is really, really tight on the LTL side. So it's very difficult for us. We show our customers in Canada, I mean look, we are asking for 3%, that's not lot, 3% to 5%. In the U.S., well, the guys -- the carriers are getting something like around 10%. So going back to your question, I believe that in Canada, 2019 pricing on the LTL side, we should be able to get above 3% improvement. Now, how we're going to do better is again by being better on the cost side.
David Ross: Yes. And then back to Truckload, quickly with ELDs coming up at the end of the year, anything specific that your fleet needs to do or any commentary around the expected impact in Canada?
Alain Bédard: Well, this is going to be good for the industry in Canada. Because again, it's a safety thing. For us, #1 is safety. So this is going to help safety on the roads in Canada. Now, I think drivers are cheating. In terms of pricing improvement, we believe that the Canadian -- we've done very well in '18. If you look at our OR, we're running at 85 kind of OR. I was looking at one of our division, well, not just one, but our Canadian Truckload in January, we run between 85 and 88 OR in January. And that February is not going to be so good because of -- like I explained earlier, weather was a little bit more difficult in February than January. So we have some leeway there. We're very active, our market intelligence in Canada, I would say, is second to that. Because our coverage is so huge. Our density is so important, that we know what's going on there, and we can adjust fast. So pricing in the Canadian market '19, with ELDs, like you said, on the truckload side, that's going to help us for sure, and it's also going to help safety.
David Ross: And any comments on the real Intermodal service up in Canada. Has that improved, does it where you needed to be for LTL products?
Alain Bédard: Don't forget, we are dependent on CNAN. And if you read what the guys are saying in CNCP, they had a very difficult January and February because of the weather. So this intermodal business is growing, no question about it. Because some of the customer are ready to work with us in a manner that the service is about the same, but the price is not the same. So for sure if you want to save money and service is important, but not as important as paying this price to be over the road. Well, we're the largest LTL player in Canada on the intermodal side, but even over the road as well. So, we can offer both depends on what the customer's requirement is.
David Ross: Alain. just last question on the Logistics and Last Mile piece, the BeavEx acquisition. Can you talk a little bit more about how that fits into your network, and what you may plan to do with that?
Alain Bédard: I'd say, it's a really good fit, Dave. It's a really good fit, I can't really talk too much in detail until the deal is closed. After the deal is closed, we may have a kind of conference call to talk to the Investor a little bit more of what that could mean for TFI. But you know, it's still in front of the court, so I don't want to say too much. But, listen, I mean BeavEx is a huge player, okay, and they were losing money. So that is not helping my franchise when one of my largest competitor loses money. And most of the time the reason they lose money is, because our pricing is like the other LTL carrier that went belly up, right.
Operator: Your next question is from [indiscernible] with BMO Capital Markets.
Unidentified Analyst: This is [indiscernible] from BMO Capital Markets for Fadi Chamoun. Just a question about all the acquisitions that were completed in 2018. What is the expected contribution to EBITDA from these acquisitions in 2019?
Alain Bédard: That's a good question. But let me think about it first. So if you look at, I would say that probably the latest one that we've done, you are looking maybe between $5 million and $9 million of what these guys used to do themselves. Now, this should be better than that in 2019 under the leadership of, let's say, Steve Brookshaw and his team.
Unidentified Analyst: Okay, So, that's $5 million to $9 million contribution to EBITDA?
Alain Bédard: Yes. Because a lot of these transactions were done in Q4. So we don't have a lot of contribution in '18.
Unidentified Analyst: And then for the acquisition that had been completed so far in 2019, do you know what the expected contribution to EBITDA for full year 2019?
Alain Bédard: Yes. So like I said earlier, those acquisitions are not in our guidance. But what I could tell you is that the contribution of these players in Canadian dollars, because one is U.S., you're talking about like in the neighborhood between $10 million and $15 million.
Unidentified Analyst: And last question, the revenue quality definitely improved with the year in 2018. And do you know what the expected impact of this improved quality is in 2019?
Alain Bédard: No, because it's an ongoing process. And also don't forget that we also have cost pressure at the same time that we are improving the revenue. So, our guidance is always very conservative. So, the goal is really to try to beat the guidance. On that regard, I would say that it's -- we don't really take that into account.
Unidentified Analyst: All right, then. Thank you so much for your time and congratulations on the quarter.
Alain Bédard: Thank you.
Operator: Your next question is from Benoit Poirier with Desjardins. Please go ahead.
Benoit Poirier: Just to come back on the previous question about the $10 million to $15 million incremental on the EBITDA, is it Canadian dollar or U.S. dollar, Alain?
Alain Bédard: No, it's Canadian dollars. Because the Schilli acquisition is USD, but we did the conversion.
Benoit Poirier: That's perfect. That's great. And if I look at organic growth, it seems that in Q4, you've been able to grow organically by 5.9%. So when I look back at the history, it seems to be a very strong performance. I was just curious in terms of organic growth, what would you expect, your ability to sustain, what kind of organic growth for 2019, Alain?
Alain Bédard: Now, we've been here, Benoit, in -- a little bit T&C in Q4 because of the Canada post situation there, which is something that's not probably going to be with us again in '19. So, that was a little bit of the reasoning behind that that's really a very good organic growth. Now, I would say that you have to be more conservative and talk about 1% to 3%.
Benoit Poirier: Okay, perfect.
Alain Bédard: Because our focus, by the way, -- our focus was because we are really watching payback on our capital investment. focus at TFI has always been about performance to the bottom line and the free cash flow. So you know in the e-commerce, we have ton of opportunity that a customer will say, well, this guy is doing it for 25% less than you. Well, this guy doesn't make any money.
Benoit Poirier: Yes.
Alain Bédard: Yes, I like that kind of supply. You know what I mean, so we could grow 5% to 10% if we -- you know, but then I have to grow my CapEx, I have to invest more in people. So our approach just as always, you know guys, no, no, no, no, let's grow profitably. And it's more important to us to grow the bottom line than just to grow the top line.
Benoit Poirier: And if I look at the U.S. TL, obviously there has been a strong improvement this year. You went down from almost 103 to 295. Obviously, you talk a little bit about the turnover situation in the U.S., which is a little bit different than the market environment in Canada. I would be curious what type of OR improvement we might see? I know you touch a little bit earlier in the first question, but I would be curious. And in the last call you mentioned that it was kind of a low 90 in 2019-2020. So, do you still feel confident to still improve U.S. TL OR in 2019. And maybe a little bit more than earlier expectation?
Alain Bédard: I think I'm very confident that under Greg Orr's team, we will be in '19 very close to 90 OR and not be a 93 or 95 guy. You know when I looked at what CFI has done in January, we had an outstanding month of January, like I said earlier. So I feel very good, really TCA is a little bit more of a problem for us. So I mean we are working on it. Now, as I said, '19 is probably not a stellar year in terms of market condition, but it's going to be a good year. So -- and to me in normal environment, you have to be a 90 OR guy. You can't be a 96 guy, and say, oh, we did well. No, you didn't do well. You understand, so that's the goal.
Benoit Poirier: And from a free cash flow standpoint, when you assume all the key assumptions in terms of CapEx, what type of free cash flow or any guidance that you are looking for in terms of free cash flow for 2019, Alain?
Alain Bédard: No, we're not giving any guidance on the free cash. The reasons being, like I said earlier is, because of all this IFRS thing there. That you know we have to replace lease with trucks. And we are still not even sure 100% of what we're talking about, because the software that we've been using, which is Oracle, you know there was some little bit of issues here and there. So Q1 will be in a better position, we will understand better what the effect is on TFI, and we may revisit that at that time.
Operator: There are no further questions at this time. I turn the call back over to Mr. Bedard.
Alain Bédard: Very good. Thank you, operator. So, again, we appreciate everyone's participation on this morning's call. We're looking forward to 2019 and the many opportunities that we see to create and unlock shareholder value, and whenever possible, return excess capital to our shareholders. Well, thank you again. Have a good day. And I look forward to updating you on our progress throughout the year. Thank you. Have a good day. Bye.
Operator: This concludes today's call. You may now disconnect.